Operator: Thank you for standing by. My name is Jill, and I will be your conference operator today. At this time, I would like to welcome everyone to the EVgo, Inc. Fourth Quarter and Full Year 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. If you would like to withdraw your questions, simply press 1 again. I would now like to turn the conference over to Heather Davis, Vice President of Investor Relations. You may begin.
Heather Davis: Good morning, and welcome to EVgo, Inc.'s Fourth Quarter and Full Year 2025 Earnings Call. My name is Heather Davis, and I am the Vice President of Investor Relations at EVgo, Inc. Joining me on today's call are Badar Khan, EVgo, Inc.'s Chief Executive Officer, and Keefer Lehner, EVgo, Inc.'s Chief Financial Officer. Today, we will be discussing EVgo, Inc.'s fourth quarter and full year 2025 financial results, followed by a Q&A session. Today's call is being webcast and can be accessed on the Investors section of our website at investors.evgo.com. The call will be archived and available there along with the company's earnings release and investor presentation after the conclusion of this call. During the call, management will be making forward-looking statements that are subject to risks and uncertainties, including expectations about future performance. Factors that could cause actual results to differ materially from our expectations are detailed in our SEC filings, including in the Risk Factors section of our most recent Annual Report on Form 10-K and Quarterly Reports on Form 10-Q. The company's SEC filings are available on the Investors section of our website. These forward-looking statements apply as of today, and we undertake no obligation to update these statements after the call. Also, please note that we will be referring to certain non-GAAP financial measures on this call. Information about these non-GAAP measures, including a reconciliation to the corresponding GAAP measures, can be found in the earnings materials available on the Investors section of our website. With that, I will now turn the call over to Badar Khan, EVgo, Inc.'s CEO.
Badar Khan: Thank you, Heather. When I first joined EVgo, Inc. as CEO at the 2023, we set a goal to be adjusted EBITDA breakeven in 2025. And I am pleased to say we achieved that goal in the fourth quarter. This significant milestone demonstrates the growth, scale, operating leverage, and durability of the EVgo, Inc. business and the dedication and hard work of our team. As I will touch on later, we are now focused on our next milestone of achieving the real operating leverage inflection point, which will allow us to further accelerate adjusted EBITDA growth and margin expansion. EVgo, Inc. delivered another excellent year of results with total revenue of $384,000,000, a 50% increase over last year, and record charging network revenues. We ended 2025 with 5,100 stores in operation, following a very large store deployment of 500 new stores in the fourth quarter. Total energy dispensed in our public network increased over 30%, which is more than our store growth. Our pilot, approximately 100 J 3,400 connectors, also known as MACs, during 2025 was successful, and we will be rolling out over 400 more Max connectors in 2026, both at new sites and retrofits at existing sites, with the goal of effectively doubling our addressable market over time. Given the returns we expect to generate from these stores, we plan to increase our public stores deployed by over 50%. This increased pace for deployment significantly increased the number of NATS connectors, and our next generation charging architecture represents real investment in 2026 to drive longer-term value creation. EVgo, Inc. continues to offer drivers more choices on where to charge their EVs as our owned public network and extended network expands across the U.S. Today, drivers can find over 1,200 EVgo, Inc. stations across 47 states. EVgo, Inc. is the third largest and second fastest-growing network in the U.S., serving all EV models with key OEM, rideshare, and site host partnerships, and I look forward to expanding our network even further in 2026. Our network stands at over 5,100 stalls and is one of the most highly used EV charging networks in the United States. While we know charging station deployments have grown significantly the last several years, the reality is that the usage of America's EV network is disproportionately concentrated amongst three largest charge point operators, or CPOs: EVgo, Inc., Tesla, and Electrify America. This is according to an independent third party. The concentration of consumer demand among these top three operators demonstrates the importance of network effect, an already established customer base, which in our case encompasses 1,600,000 customers, and scale as a driving force behind this unmatched network utilization. EVgo, Inc.'s fourth quarter utilization was 24%, which is higher than the average of the top three and nearly fivefold higher than the large group of subscale CPOs, most of whom see usage in the single digits. Per store demand growth for EVgo, Inc.'s charging network continues to outpace the industry. Since Q1 2024, EVgo, Inc.'s utilization has grown four percentage points, while the rest of the industry excluding the top three has actually declined by two percentage points. In other words, according to this third-party data, EVgo, Inc. has emerged as a clear leader the EV charging space in the United States, representing outsized consumer demand for our network as compared to the competition. It is clear to me that EVgo, Inc. has a strong competitive moat that is enduring and continues to strengthen over time. We have developed superior AI-driven and scalable site selection algorithms, and host partnerships allow us to build charging stations where drivers want to be, conveniently near where people shop, eat, and run their daily errands. We are continuing to scale with strong grocery and retail partnerships, including an expanded partnership with Kroger, which we announced earlier this year. EVgo, Inc. now has almost 14 times CPOs. the average number of stalls of the rest of the industry outside the top three. We have partnerships with rideshare companies such as Uber and Lyft, who we believe partner with EVgo, Inc. in part because of our enormous scale advantage versus the dozens of smaller operators, and the value drivers get with discounted rates on the EVgo, Inc. network. As you may have seen recently in the news, EVgo, Inc. and Uber are in discussions to expand our partnership to meet rising demand for our services from rideshare drivers. We have developed and are continuing to deploy leading customer engagement tools and capabilities to enhance our customer experience. The investments we are able to make in our EVgo, Inc. app and other technologies are only possible given we have the scale, network effect, talent, and capital to build the tech stack. Of note is AutoChargePlus, where eligible drivers enroll their vehicle and payment method; when they pull up to a charger, they simply plug in and charge. It is a seamless customer experience, and 30% of our sessions are now initiated with AutoChargePlus. EVgo, Inc. continues deploying more 350-kilowatt or faster chargers that now make up the majority of our network, offering a full charge in under 15 minutes, compared to just 19% for the rest of the industry, excluding the top three. Our products and hardware teams worked tirelessly to improve the charging experience, including ongoing maintenance campaigns targeted at improving reliability on our existing chargers and through our next generation charging architecture. Finally, unlike many in the industry, we have the non-dilutive financing in place to build at scale. This competitive advantage is not solely driven by EVgo, Inc.'s superior site selection but rather the combination of all the factors I have described, built over 15 years of doing what we do. In the 2026, expect to reach a critical milestone in the evolution of the business, achieving a key operating leverage inflection with gross profit from our charging operations without any contribution from our non-charging business covering adjusted G&A. At the same time, we are intentionally investing in three key areas that we believe will strengthen the long-term competitiveness, resilience, and value of the EVgo, Inc. platform. We will build our already significant skill advantage by ramping up our deployment teams to meet market demand. Further separate ourselves from dozens of smaller operators, significantly increase the number of new owned stores we bring online in 2026 with even higher growth planned in 2027. We will roll out more next connectors this year, doubling our addressable market in the long term. This represents an investment in 2026 as we are trading highly productive CCS tolls with max tolls where performance is lower than CCS initially, but growing over time as NAX drivers discover these tolls through our customer marketing campaign. And our investment in next generation charging our improves the fundamentals of the business as we scale. It simplifies the hardware, reduces failure points, improves reliability, and lowers operating costs over time, while also giving us the flexibility to support higher power vehicles and standards like MAX, and ultimately delivering a better customer experience. That combination is critical to sustaining high utilization and expanding margins as the EVgo, Inc. network grows. Over the last two years, we have deployed over 1,200 stalls on our network each year, including our extend network. In 2026, we expect this will increase to 1,400 to 1,650. And importantly, we plan to increase the number of new owned and operated stores deployed by over 50%. Approximately two thirds of these stalls will be deployed in the 2026. We are targeting cash-on-cash paybacks of three to five years, with our highest-performing top 15% of stores achieving paybacks in as little as one to two years. These strong returns support our ability to continue accelerating store deployment, enabled by the non-dilutive financing we have in place that positions us to further scale our build-out in 2027 and beyond. Our autonomous vehicle partnerships remain an important source for further growth and potential upside to these forecasts. And as discussed before, new stores, more existing, extend partnerships are expected to wind down during 2027, allowing us to transfer build capacity to our owned and operated business. The industry transition to NAX is an exciting opportunity for EVgo, Inc. Over half the EVs on the roads today have MAX inlets, mainly Teslas today, but new models from other OEMs are being launched with native Max. We expect to add over 400 MACs connectors into your network by the 2026, allowing drivers charge at our stalls without an adapter and effectively more than doubling our addressable market. In 2025, we deployed about 100 connectors in our existing sites on a pilot basis with the goals of validating the technology and determining how to grow NAAC's throughput as quickly as possible. I am pleased with how the NAX connectors are performing from a technology perspective. I do want to thank our hardware team who worked tirelessly to make these liquid-cooled cables happen for our fast chargers. EV drivers can find our NAX locations with EVgo, Inc. mobile app, or from the distinctive yellow signage at these sites. Throughput for next tolls is currently lower than our CCS tolls at the same site, but we are clearly seeing it grow, driven by increasing numbers of tested drivers charging at these tolls. Over the course of this year, we expect to grow max per toll usage through our customer communications efforts, driving awareness. This is an important medium- to long-term goal as native MAX vehicles share overall VIO grows. I have highlighted a number of company-specific sources of competitive advantage, and now I want to turn to some of the industry-wide tailwinds we continue to see driving the share of public fast charging that EVgo, Inc. also benefits from. Today, we are beyond the early adopter phase of EV, with almost 6,000,000 EVs on the road. American drivers are choosing to go electric, and EV prices continue to fall relative to ICE vehicles, making EVs more affordable, which in turn makes EV ownership more accessible to more Americans, including to those that live in multifamily housing. These drivers often do not have access to a garage or private driveway, and therefore are more reliant on public fast charging. In fact, they charge approximately one and a half times more on the EVgo, Inc. network than those drivers that live in single-family homes. The electrification of rideshare is another key tailwind that has been and is continuing to drive the share of public fast charging. Rideshare drivers are adopting EVs five times faster than regular motor races and are more likely to live in multifamily housing or otherwise not have access to home charging, and charge significantly more on the EVgo, Inc. network than the average retail customer. Companies like Uber and Lyft have their own targets and incentive programs to help rideshare drivers make the switch, and on the policy side, New York City and California both have policies in place to encourage increased rideshare electrification each year through 2030, which other states like Massachusetts are also considering. Over the last three years, commercial rideshare throughput as a percentage of total throughput on EVgo, Inc.'s network has almost doubled and is roughly a quarter of EVgo, Inc.'s public network throughput today. We are pleased to have reached an initial agreement with Uber. They will guarantee a minimum level of utilization and incentivizes EVgo, Inc. to build a number of new larger charging stations in key urban locations in San Francisco, Los Angeles, Boston, and the New York metro areas. This expanded partnership with Uber is designed to address a key concern amongst electric rideshare drivers, which in turn we expect will continue to accelerate electrification of rideshare. I am excited to share more details of this expanded partnership once it is finalized. More affordable vehicles, increasing number of drivers living in multifamily housing, accelerating rideshare electrification together with faster vehicle charge rates are all driving the growth of public fast charge, and we remain very focused on capitalizing on these exciting tailwinds to fuel EVgo, Inc.'s continued growth. Finally, EVgo, Inc. is well positioned to benefit from the growth in autonomous rideshare. Autonomous vehicles are electric, and just like human-operated rideshare, vehicle downtime when an EV is charging is lost. Ready. So fast charging is key to maximizing their utilization and revenue. Given the amount of technology in these vehicles, they can consume more kilowatt-hours per mile driven, and as a result, are even more reliant on fast charging. AV market poised for tremendous growth over the next five years, with a 20-fold increase in robotaxis expected by 2030. EVgo, Inc. has been operating dedicated charging stations for autonomous rideshare fleet since 2020. Today, we have 140 dedicated charging stalls for autonomous vehicle companies. We are proud to be Waymo's charging partner in San Francisco and Los Angeles, and we operate charging sites for another AV company as well. While this is a small part of the EVgo, Inc. business today, our track record, partnerships, competitive strengths, position us well to support the rapid expansion of the AV market, which should, in turn, provide meaningful upside to our business plans over the medium and long term. Before Keefer shares more detail on our fourth quarter and full year results, I want to take a moment to introduce him to our investors and analysts. We are thrilled with the nearly two decades of operational and financial expertise Keefer brings to the public health and CFO, former investment banker, and private equity investor. He is a great addition to the Madison team, and I look forward to partnering with him to try and share further value. Now I will turn it over to Keefer.
Keefer Lehner: Before I begin, I want to share how thrilled I am to be at EVgo, Inc. We build the infrastructure this country needs. Since joining in mid-January, I have been working closely with that RN team to transition into the role. I am excited about the substantial organic growth runway in front of us. My focus is clear. Building on the strength of our balance sheet to accelerate profitability as we continue to scale the business for accelerated long-term growth and value creation. With that, let us jump into our fourth quarter and full year results. Operational stall growth, one of the key components of growing EVgo, Inc.'s revenue. We ended Q4 with 5,100 stalls in operation, a three times increase compared to 2021. We added over 1,200 new stalls to the network in 2025, including 500 in just the fourth quarter, representing our largest stall deployment in a quarter ever. Our customer base has grown almost fivefold over that same period, which contributes to the network effect, driving increased brand loyalty and usage across our ever-expanding network. We have grown the total energy dispensed on EVgo, Inc.'s network in 2025 to 366 gigawatt-hours, a 14-fold increase over that same period since 2021. 2025 revenues of $384,000,000 have increased over 17 times from 2021 levels. Charti network gross profit margin expanded over 2,500 basis points from the mid-teens to the upper thirties, reflecting the meaningful operating leverage of fixed cost of sales on a per stall basis as throughput and revenue per stall continue to rise. Importantly, we again delivered improving profitability with adjusted EBITDA growing at a meaningfully faster rate than revenue, and we achieved a positive adjusted EBITDA margin in 2025 for the first time in company history. Total throughput on the public network during the fourth quarter was 99 gigawatt-hours, an 18% increase compared to last year. Revenue for Q4 was $118,000,000, which represents a 75% year-over-year increase with growth in all three revenue categories. Total charging network revenue was $64,000,000, a 37% increase versus the prior year. Extend revenue was $24,000,000, delivering growth of 33% over the same period. And ancillary revenue of roughly $31,000,000 was up about 9x. Q4 ancillary revenue benefited from a $26,000,000 contract buyout from a former AV partner that exited the space. Charging network gross profit and margin in the fourth quarter were $29,000,000 and 46%, respectively, up 56% and 560 basis points, respectively. This is slightly higher than our run rate, given the higher than usual network OEM revenues resulting primarily from branding revenue associated with our GM contract and higher charging credit breakage. Since 2021, charging network gross profits have grown over 32 times. Fourth quarter adjusted gross profit of $60,000,000 was up over 2x versus the prior year. Adjusted gross margin was 51% in Q4, an increase of over 1,700 basis points over the same period. Adjusted G&A for the quarter was $35,000,000, an increase of 14% compared to the prior year, as a percentage of revenue improved from 46% in 2024 to 30% in Q4 of this year. Adjusted EBITDA was $25,000,000 in 2025, a $33,000,000 improvement versus 2024. Importantly, if you exclude the impact of the $24,000,000 ancillary contract buyout, we were still positive adjusted EBITDA for the fourth quarter. Moving to key highlights for full year 2025, total throughput on the public network in 2025 was 366 gigawatt-hours, a 32% increase compared to last year. Revenue for 2025 was $384,000,000, which represents a 50% year-over-year increase with growth across all three revenue categories. Total charging network revenue was $218,000,000, a 40% increase compared to 2024. Xtend revenue was $116,000,000, delivering growth of 34% compared to the prior year. And ancillary revenues of $49,000,000 were up 239% year over year, again benefiting from a $26,000,000 contract buyout from a former AV partner that exited the space. Charging network gross profit and margin in 2025 were $86,000,000 and 39%, respectively, up 46% and 170 basis points, respectively, versus the prior year. 2025 adjusted gross profit of $141,000,000 was up 86% versus the prior year. Adjusted gross profit margin was 37% in 2025, an increase of over 700 basis points. Adjusted G&A as a percentage of revenue also improved from 42% in 2024 to 34% this year, further demonstrating the scalability and operating leverage intrinsic to our model. Adjusted EBITDA was $12,000,000 in 2025, a $44,000,000 improvement versus the prior year. Full year net capital spending for 2025 was $76,000,000, a 64% increase versus the prior year. 61% of 2025 CapEx, net of capital offsets, was spent in Q4 as we deployed over 500 SALs in the quarter and began laying the groundwork for accelerated growth in 2026. For a 2025 vintage, net CapEx per stall was approximately $70,000, a slight increase from 2024 vintage, which had an elevated amount of capital offsets. On the financing side, we also borrowed an additional $6,000,000 under our commercial bank facility in December 2025. As mentioned in last quarter's call, we received the latest DOE loan funding of $41,000,000 in October 2025. In total, that brings our commercial bank and DOE loan balances as of 12/31/2025 to $66,000,000 and $141,000,000, respectively. Turning to our outlook and guidance for 2026, as we have outlined earlier, we see an opportunity to build a top-tier charging network in the United States. While EV sales in 2026 are expected to be flattish to slightly up from 2025, that still means at least 1,200,000 new EVs will be on the road, and VIO is expected to expand 20%+ year over year, with new EV sales expected to account for less than 10% of our total 2026 revenue. We are investing in scale, density, and deepening our network advantage while focused on capturing strong returns on capital deployment. We expect to accelerate our deployment of EVgo, Inc. public and dedicated stalls this year with 1,050–1,250 new stalls being added in 2026, with the majority of these additions coming in the 2026. In order to facilitate our accelerated future growth, we are making investments in G&A to support this growth engine. Our expectation of a number of extend stalls operationalized this year is 350 to 400 stalls, which will get us through approximately 70% of the contract with the pilot company. We anticipate building the remaining Insta installs under this contract in 2027. of pilots network. At which point the contract will primarily be tied to operations and maintenance. Overall, we plan to deploy 1,400 to 1,650 total stalls in 2026, a significant step up from 2025, and we expect the rate of deployment to continue to increase as the company grows in 2027 and beyond. For the full year 2026, we expect total revenues of $410,000,000 to $470,000,000 with adjusted EBITDA in the range of negative $20,000,000 to positive $20,000,000. We also expect significant shape in second-half weighting to the year, as approximately two thirds of the 2026 stall deployments will go live in the second half of 2026. The adjusted EBITDA range is informed by variability of expected throughput on our network. The incremental benefit of each kilowatt-hour sold has a big bottom-line impact. Roughly 2.5 gigawatt-hours of retail throughput equates to approximately $1,000,000 of adjusted EBITDA impact. We expect second-half 2026 run rate to be well above full-year guidance, given the significant shape to the year. We expect second-half annualized adjusted EBITDA to be up to $40,000,000. We do anticipate Q1 and Q2 adjusted EBITDA will be negative, given the growth investments we are making and the second-half weighting of our new stall additions in 2026. Charging network revenue should be around 70% of 2026 total revenue. Charging revenue is expected to increase each quarter on a year-over-year basis. In the first quarter, growth is expected to be softer, as our new stalls added in Q4 are still ramping up, and we had significant weather impacts from winter storms. Extend revenues for 2026 are expected to be down on a year-over-year basis as we are constructing fewer stalls under the program this year as we get closer to completing the contract of pilot. Beginning in 2028, this will drive lower revenue solely tied to O&M activity, which frees up our team to focus on further accelerating the expansion of owned and operated network. Given our strong unit economics and paybacks, we are investing in G&A in 2026 for accelerated future stall deployment and improving the customer experience. These near-term investments are expected to position EVgo, Inc. to accelerate revenue and profit growth into the future. Adjusted G&A for 2026 is expected to be $150,000,000 to $155,000,000 for the full year, which is approximately 35% of 2026 revenue guidance. This is largely in line with 2025 SG&A expense as a percentage of revenue but on a full-year basis is burdened by the back-end growth of the 2026 plan. 2026 will be an exciting year of transition for EVgo, Inc., as we augment our foundation to support sustained profitability and set the table for an accelerated go-forward growth trajectory, which should drive improved incremental margins, sustainable profitability on a go-forward basis. With that, I will hand it back over to Badar to dive deeper into EVgo, Inc.'s differentiated value proposition our shareholders.
Badar Khan: Thank you, Differ. Our unit economics we have shown over the last two years and the details for Q4 are in the appendix for our investor deck, highlighting the growth we are driving in cash flow per store. Throughput per store growth results from EVgo, Inc.'s competitive moat and rising EV VIO. We believe our superior site selection, top-tier partnerships with OEMs, site hosts, rideshare, navy companies, our leading customer engagement and customer offerings, including faster chargers, and our growing customer base that is now 1,600,000 customers all combined to create a moat around EVgo, Inc.'s business that is hard to replicate, one we spent 15 years building. This is what drives our recurring and effort-expanding cash flow per store. Daily throughput per stall, whether for the average of the network or the top 15% of stalls, continues to rise. Our 350-kilowatt stores currently comprise over 60% of our network and will comprise around 90% of the network within a few years, are now generating almost 350 kilowatt-hours per stool per day. Annualized cash flow per store for our entire network in Q4 was $21,000. If you look at our sweet 50-kilowatt chargers, that is $28,000, proof that our network will scale to our longer-term target. The top 15% of our network was over $65,000, which represents a payback period of just over one year for new stalls performing at these levels. Top 15% of stalls clearly shows the operating leverage within charging gross profit, where these tolls generated 54% charge in gross margin, a full eight percentage points higher than the average of the network due to the higher throughput per store. EVgo, Inc. reached the critical milestone this quarter, delivering positive adjusted EBITDA for the quarter and for the full year. This achievement rely in part on our non-charging lines of business, Send and ancillary. Because of the growing number of owned and operated stalls and the growth in store profitability due to rising throughput per store, the real growth in the company comes from our charging business. Revenue growth since our IPO is over 70, and we have moved from an adjusted EBITDA loss to a profit. As we have said before, nearly two-thirds of our total G&A is largely fixed, growing much slower than the growth in the charging business. Therefore, the real operating leverage inflection, with the gross profit from our charging business alone without any contribution from the noncharging businesses, covers our G&A, occurs in late 2026. From that point, expect a significant increase in our already strong incremental margins, with a significant portion of our charging gross profit falling straight to the bottom line, further accelerating the growth in adjusted EBITDA and driving significant adjusted EBITDA margin expansion. This is on top of the operating leverage that exists within charging gross profit that I just discussed earlier. Over the next four years, we are targeting charging network profits to grow at a CAGR of 50% to 60%, with adjusted G&A growing at a CAGR of approximately 15%. This operating leverage results 105% to 130% CAGR in adjusted EBITDA. We are confident that over the course of the next few years, have a business that goes from breakeven to triple-digit millions in adjusted EBITDA. EVgo, Inc. spent the past 15 years building a business model and a competitive moat that is hard to replicate and benefits from a number of growing megatrends and tailwinds that have already translated into strong financial results and will deliver even stronger results over the coming years. EVgo, Inc. operates a highly differentiated, industry-leading charging platform that has meaningfully higher utilization than almost every one of our peers. This is not only driven by proprietary site selection capabilities but also best-in-class customer experience and customer engagement to a large and growing customer base, combined with leading partnerships across the broader industry. Our ability to attract non-dilutive financing to accelerate our growth further separates us from our peers. Our focus on owning and operating our network, especially in the high-density urban centers where drivers need fast charging the most, results in a business model with strong and growing unit economics with equally compelling operating leverage, and all of this benefits from a compelling macro backdrop that will propel the business for many years to come. Vehicles in operation are expected to more than double by 2029. The share of public fast charging continues to rise due to the electrification of rideshare, more affordable vehicles, faster charge rates. Standardized cables will double EVgo, Inc.'s addressable market over time, and, of course, the rise fully electric, autonomous vehicles that will need to charge at fast charging locations will just add to the growth we expect to see in our network. By the time we end 2029, we are targeting to have an enduring infrastructure business with over 12,500 public owned stores, charging network revenues model to grow at 40% to 50%, and adjusted EBITDA margins in the 25% to 30%. This is a capital-efficient accretive growth model that positions EVgo, Inc. to compound intrinsic value as we continue to scale our network. Taken together, our differentiated approach, accelerated demand environment, and the strong returns on new investments gives us deep confidence in the long-term value creation opportunity ahead. Operator, can now open the call for Q&A.
Operator: Thank you. The floor is now open for questions. If you have dialed in and would like to ask a question, please press 1 on your telephone keypad. If you are called upon to ask a question and are listening via loudspeaker on your device, please pick up your handset and ensure that your phone is not on mute when asking your question. We do request for today's session that you please limit yourself to one question and one follow-up, and you may requeue for any further follow-up questions. Your first question comes from the line of Stephen Gengaro of Stifel. Your line is open.
Stephen Gengaro: Thank you. Good morning, everybody. Congrats on the progress. This might be an odd question, but when you look at the customers, I forget the number you mentioned, but 1.3 or 1,500,000 customers. Can you tell us, or do you have a sense for the percentage of usage that a certain piece of the customer base has? Like, if you have 1,600,000, I think was the number you gave, like, are the repeat users driving like, a 25% driving 75% of the business? Like, how do those numbers look?
Badar Khan: Yeah. Stephen, we, you know, we I have been saying on a pretty much regular basis over the last several quarters that around half of our usage comes from rideshare customers or from customers on accounts. So these are the customers that are, you know, using our network most frequently. I think we have said rideshare is roughly a quarter. Rideshare alone is roughly a quarter of the business. We have got the subscription accounts, and, of course, customers on the OEM charging programs, so that is roughly what it is. I think rideshare in particular, as we said over many quarters now, it has gone from, you know, roughly 10% four years ago to about a quarter, so it is a really exciting, you know, part of the demand of the network. Rideshare is electrifying; it is going to continue to electrify. Companies like Uber and Lyft, cities like New York City, states like California, you know, are all focused on encouraging electrification of rideshare, so that is really a big component there.
Stephen Gengaro: Okay. Great. Thank you. And the other one was, how do you participate, and I know you mentioned this on the autonomy side. Like, are there incremental, are there folks at the EVgo, Inc. charging? So how does that ultimately work, in your mind?
Badar Khan: Yeah. Well, I mean, I think that as we said on the call, I think the autonomous vehicle space is, I think, a very significant source of potential upside for the business. We have got about 140 operational stalls that are dedicated to autonomous vehicle partners. We have been actually, we have had operating stalls for AV partners for years, actually five years now or more. Since 2020. I am sorry. So, you know, we have been doing it for quite a while. We are adding, maybe doubling the number of stalls this year in 2026, so it is still pretty small. But I do think that just like in human rideshare, EVgo, Inc., you know, will become the partner of choice for autonomous vehicle companies, just given our scale, our balance sheet, the emphasis on reliability, our, you know, significantly superior customer demand that we shared from the third-party industry data. And, you know, these sites do have, you know, human operators who are plugging the cables in. They are cleaning the vehicles. If that was your question.
Stephen Gengaro: Great. No. That is helpful. Okay. Thanks. I will get back in line. Thank you.
Operator: Your next question comes from the line of Laura Deng of RBC Capital Markets. Your line is open.
Laura Deng: Hi. Good morning. Thanks for taking my question. I think last quarter, you all mentioned those charger tech enhancements. Just wanted to know if there is an update with that and when you expect to have that second enhancement completed, and then I have a—
Badar Khan: Yeah. We are thrilled, very pleased with the work that is going on, actually, with our supply chain partners, that is Cigna and Delta. You know, we have been systematically, you know, requalifying, reinstalling the tech on each of sets of equipment, and progress is going great. We completed that program with Cygnet, I want to say, over a year ago now, and the effort that we have with Delta continues through the course of this year. I expect that we will be well past the majority of that program by the middle of the year. So going really well.
Laura Deng: Got it. Got it. Thanks. And then on next, what have you all seen with the initial performance on the connectors installed so far? And then what gives confidence to accelerate that deployment this year?
Badar Khan: Yeah. So the throughput per stall on our max stools has nearly doubled since the fall, and that is really giving us the confidence to accelerate the rollout this year. The throughput here on these max cables, max tools, are actually still well below CCS stalls, and that is because it just takes a little longer for Tesla drivers to kind of get used to charging at places other than Tesla Superchargers. But, you know, we do expect that over time through our engagement efforts, our customer communications, and really also because our stores are, our charging stalls are, faster—that there is 350-kilowatt versus the Supercharger network of 250. They are closer to where drivers are, where they run errands, they live, they work. We would expect to see that rise. And that is really why we are really quite excited by this next deployment. It effectively doubles our addressable market. There are many more NAX vehicles; there are CCS over time, you know, charging our network without an adapter. It is an investment in 2026 that I expect will be, will pay off quite materially in the future. So that is why we are talking about rolling out over 400 more next stalls over the course of this year.
Laura Deng: Great. Thank you.
Operator: And, again, if you have a question, it is star 1 on your telephone keypad. Next question comes from the line of William Peterson of JPMorgan. Your line is open.
William Peterson: First, it looks like you lowered your build schedule targets now through 2029. Trying to get a better understanding of what is driving the revision. Is it higher CapEx per stall? I mean, less demand? I presume it might be less demand, but, you know, can you define, like, what your expectations are? I think you were talking about industry expectations of VIO doubling by 2029. But, I mean, what if growth remains flat or even declines, implying lower VIO? Would you subsequently lower your deployments? Or do you feel confident in the revised guidance? I understand the value proposition of EVs, but the near-term growth projections are certainly far from rosy.
Badar Khan: Yeah, William. I mean, I think that as I look at our build plans for our owned stalls, which is really what we are focusing on here, that start with 2026, we are, you know, really stepping up the deployment of new stores in 2026. We have been growing new stores, owned stores, roughly kind of 700 to 800 a year for about, what, four years now? And what you can see for 2026 is it is up to about 80 for 5% higher. 50-some to 85% higher. So that is a very significant step up. We will incur those expenses this year in terms of deploying more stores. 2027 is about two and a half to threefold versus 2025 levels, so it is another big step up. We will start incurring growth expenses for the 2027 deployments towards the end of this year. And I think when I look at this deployment schedule, it is really, we are just being very disciplined around how we deploy capital. That is what guides our decision-making. We are generating payback that is as fast as one to two years at the top end of our network, the top 15% of stores. We are targeting three- to five-year paybacks. We are getting something at the faster end of that range. And so as long as the, you know, returns that we are generating in this capital is at those levels, and then frankly, that does not even need to be at those levels, we think it makes a ton of sense to deploy capital. You know, we balance a bunch of things from, you know, in the past, it has been the balance sheet. The balance, of course, is at the strongest place it has been in pretty many years now. We do think about in-year earnings. We do think about the sequence of deploying our operational capacity. I think the pilot contract deployments reaching an end 2027 does allow us to transfer some of that operational build capacity over to the owned operation, owned fleet, without causing too much disruption. So that is how we think about it. In terms of the underlying VIO, I mean, look. We have seen these forecasts. You and I, we have seen these forecasts. It has been slashed in the last couple of years. And, you know, and yet, you know, we say it is a muted environment demand environment, and yet it is still two or three times where we are today in 2030. And so I do not know about these forecasts. I sometimes feel like they swing like a pendulum going back and forth. We are going to be focused on deploying capital in a way that makes sense for our shareholders. And the good news is we can deploy faster or slower based on the returns that we are seeing.
William Peterson: Yeah. Thanks for that color. I would like to maybe double click and unpack on the why, kind of relatively wide EBITDA guidance range. Maybe understand better what drives it closer to the lower end of the range versus positive. You talked about pretty significant ramp in the second half. Is there anything else that we should be thinking about? For example, how much does removal of the 30 DE EV tax credit have an impact? Maybe, you know, the extend much shows up in 2026 versus 2027? Just anything you can do to help us better understand the guidance range.
Keefer Lehner: Good morning, William. This is Keefer. I will jump in on this one. To your point, we guided to an adjusted EBITDA range, and at the midpoint is breakeven. But we did also, to your point, share color on both the shape of 2026 as well as the exit rate represented by a second-half annualized number, which is clearly well above the full-year guidance range. The shape for the year is really driven by the deployment cadence of our 2026 capital spending, plus some near-term investments at the front end of the year from a G&A perspective as we work to ensure we have the foundation in place to support the more rapid build-out of our owned and operated network. So those are really the key drivers there. I think, you know, the operating leverage around the charging business and our charging margin is really what drives that. As operating leverage increases through stall-dependent and group-dependent cost, that illustrates that operating leverage on a go-forward basis. So charging network gross profit accounts for roughly two thirds of the range within the $110,000,000 to $140,000,000 forecast that we showed in the slides.
William Peterson: Thanks, Keefer.
Operator: Your next question comes from the line of Craig Irwin of Roth Capital. Your line is open.
Craig Irwin: Good morning, and thanks for taking my questions. Actually, question is very much on the same line of what the last person just asked. So I was hoping you could get a little bit more granular about incrementally how much G&A dollars you are investing in 2026 versus 2025? And if you could maybe give us color on you know, where you are spending these dollars. You know? Is this you know, primarily in rideshare support and multifamily? Or is this in, you know, education and other things with, you know, used car, used DV buyers? I mean, there are many different ways you could approach organic growth on the network. If you could maybe just share with us a little bit about, you know, where you are spending the money.
Keefer Lehner: Yeah. Craig, great question, and thank you. As you think about 2026, just total adjusted G&A, we are guiding to a range of $150,000,000 to $155,000,000. At the midpoint there, that is up about 19% compared to full year 2025 and up about 8% from where we exited 2025 on a Q4 annualized basis. So G&A spending will be up year over year, albeit at a much more muted level than what we are expecting from a top-line and margin expect standpoint. Our G&A remains kind of two thirds fixed as you think about the fixed and variable split. And where we are really making investments in 2026 is around internal resources as well as additional R&D support and resources as we work to build out and roll out latest-generation hardware, software, and firmware over the course of 2026.
Badar Khan: Yeah. Craig, maybe if I just jump in here a little bit, just to add a little more to that. And if you just take a step back, we are generating paybacks as fast one or two years. We have got a network that is now nearly 15 times larger on average than, you know, almost everybody else in the space. The demand on our network on a personal basis is five times higher. So many of our top shareholders are actually keen for us to leverage this strength by growing faster. So where Keefer was talking about increased resources, it is really to grow faster. Grow faster, solidify that competitive advantage, really separate ourselves from the rest, which gets us to that triple-digit millions in adjusted EBITDA, really, in less time it took us to get from negative 80 to breakeven. We could choose to not go that fast, and we might be $20,000,000, maybe $25,000,000 better off in 2026 on adjusted EBITDA. But I think that honestly seems to be a little shortsighted. It wastes the moat that we have built, and not to mention it lowers, it results in a slower adjusted EBITDA ramp than if we go faster. So we are actually really excited about this year. I think it is a year of pretty ramping up, which will pay off handsomely. We expect to pay off handsomely, going forward.
Craig Irwin: Understood. That makes complete sense. So my next question is about the network gross margins. Right? So I definitely appreciate the detail that you have been sharing with us over the last several quarters. 600 basis point improvement year over year, that is fantastic. There is quite a lot of volatility out there around electricity prices, and, you know, several investors have been asking about your ability to pass through some of the short-term volatility that shows up in the market. You know, many other large buyers of electricity actually this last quarter had contracting margins, and you have had expanding margins. Can you maybe just discuss how you purchase and make your commitments for electricity? And, you know, your visibility on expanding these margins like you share for your top 15% of the network.
Badar Khan: Sure. I mean, look, margins will expand just because of the operating lever. Within charging gross profit where, you know, roughly 30% of our costs are on a fixed and a personal basis. And I think as you just mentioned, you see that when you look at the difference between the top percent of our network and the average of our network, every quarter when we report, every other quarter, we put our unit economics. You can see our charging gross margin is quite a bit higher. It was eight percentage points higher for higher-use stalls. So there is this embedded operating leverage as usage per store rises. But, Craig, we know we have got real scale. Relative to everybody else in this industry, almost everybody else, we have got real scale. We are able to engage in active energy cost management in certain derivative markets. As you know, my background comes from that space. You know, we have got very sophistic or more sophisticated dynamic pricing algorithms deployed across the network. We deployed them in through 2024 and 2025. We have got that next round of—
Operator: Pardon the interruption. We seem to be experiencing technical difficulties. I will place you back on music hold until we get this resolved. Thank you.
Badar Khan: Kitty Harris? Hello?
Operator: We have the speakers back. Please go ahead.
Badar Khan: Okay. Can you guys—I will assume that you can hear us. So, look. Craig, just to summarize, we feel pretty good, pretty excited about our pricing sophistication. I will say that we are in the foothills of a multi-decade journey, and so, you know, our long-term unit economic gross margins are really not different from where we are today. So I think that might seem to be a conservative assumption.
Craig Irwin: Great. Well, congratulations on the healthy quarter there.
Badar Khan: Thanks, Frank.
Operator: Your next question comes from the line of Christopher Pierce of Needham. Your line is open.
Christopher Pierce: Hi, Chris. Morning. First question, I guess, is can you hear me after that?
Badar Khan: Are we live? We can hear you. We can hear you. Yeah.
Christopher Pierce: Okay. Perfect. I, you know, you have talked about moving faster. You talked about the network effects and network advantages. I guess if we think about you know, this long tail of substandard operators, is there a chance for M&A to maybe some areas where it is a desirable geographic location, and you have got a competitor there that is a maybe a only competitor, and that would sort of grow the install base even faster? Or is that not quite something that is possible, given the DOE or how you guys think about installing and needing electricity for 350, etcetera?
Badar Khan: At the highest level, Christopher, we want to ensure that we are deploying capital that is generating the best returns. Deploying capital organically, as we can all clearly see, is generating very strong returns. If we are able to deploy capital inorganic, that could compete with that, then, of course, we will take a look at it. You know, it is our view that, you know, our, you know, our, you know, really quite material difference, superior performance on demand in terms of usage per store is due to the site location, but also all the other things you were just alluding to: our network effect, you know, our investments in customer experience, customer engagement, the reliability, the charger speed. And so, you know, if there may be a scenario where, you know, our sort of know-how on top of somebody else's assets, as long as they are in good locations, could generate much more attractive returns. But, you know, these are all hypothetical at this point. We are just very focused on deploying capital organically.
Christopher Pierce: Okay. You, good luck.
Operator: Operator, are there other—Yes. Your next question comes from the line of Andrew Shepherd of Cantor Fitzgerald. Your line is open.
Andrew Shepherd: Hey, everyone. Good morning. Again, thanks for taking our questions and congrats on the quarter. Think a lot of our key questions have been asked. I wanted to maybe touch on autonomy and autonomous vehicles since that is a big, you know, area of emphasis going forward. Just curious, like, how should we think about KPIs in that industry, and what would you recommend we look for in terms of seeing progress there? Should we expect, you know, a major increase in utilization rate? Is it just an increase to the salt pounds, network throughput? Like, you know, what will be the key lever to focus there for autonomous vehicles? Thank you.
Badar Khan: Yeah. And, I mean, I think as I said before, I think this is a space that is really very exciting and is a potentially very significant source of upside in the medium to longer term. We do have 140 of the 5,100 stores that are operational, 140 today that are dedicated to autonomous vehicle partners. We separated them out in our disclosure at the 2025. We added 30 to that count last year. This year, it will be maybe a bit double, maybe kind of 50 to 75 stores. So maybe that is a metric to look at. I will say it is pretty early in the game in terms of the autonomous vehicle space. Our contract structures are ones where we—current contract structures are ones where we do not have any utilization exposure. In other words, we are just getting a fixed monthly fee for these stores. So these are kind of like contracted cash flows over a long period, you know, long term. We are still working out between our partners and ourselves what are the best contract structures that make sense for everyone in the long term. But, you know, just like human rideshare, as I said, I expect that EVgo, Inc. will become the partner of choice for these companies, just given the scale, the balance sheet, you know, and the track record that we have built here over the last many years. And we have been on the AV space—we have been serving AV partners for five years now.
Andrew Shepherd: Got it. That is super helpful. Appreciate all that color. Maybe just as a last and quick follow-up. Can you maybe just remind us a capital need going forward with roughly $211,000,000 in liquidity. You also have the DOE loan. You know, how are you thinking about capital needs? And particularly if you are planning on being active in the M&A market? Thank you.
Badar Khan: Well, just to be clear, we are very focused on growing the company organically. And so, there are opportunities to deploy capital that compete with that, we will look at it. But today, we are very focused on growing organically. You know, I will say—I will ask Keefer just to comment on the capital needs, but, you know, we have got one of the—at this point, I think the strongest balance sheet we have had in my time, certainly, as CEO and prior to that. So, and we have got this, I consider, kind of superior and lower-cost access to non-dilutive financing through the DOE and the commercial bank facility, and so we feel very good about those facilities. But I will ask maybe, Keefer, just to comment on how you think about the capital needs this year.
Keefer Lehner: Sure. Good question. So to jump in on 2026, capital spending, right now we are estimating a range in kind of the high $100,000,000 up to approaching $200,000,000 of spend for 2026. Approximately two thirds of that would be earmarked for 2026 deployments. So the wiggle room there is just related to future capital spending that hits from a timing perspective. On a net basis—that was a gross number I just gave you—on a net basis, we are expecting offsets this year to be approximately 17%. So on a per-stall basis, we do believe we will be able to drive down gross capital spending per stall somewhere in the low single digits on a year-over-year basis as we look from 2025 to 2026.
Andrew Shepherd: Wonderful. Super helpful as always. Thanks so much, and congrats again on the quarter.
Badar Khan: Thanks, Andre. Thank you.
Operator: And your last question is a follow-up from the line of Stephen Gengaro of Stifel. Your line is open.
Stephen Gengaro: Thanks. Thanks for taking the follow-up. This was in reference to the margins and the pricing side. This came up a little bit on an earlier question, but have you implemented, or how do you handle sort of the dynamic pricing model? Like, how aware is the system of alternatives, and how do you sort of adapt to changing environments with pricing? Is that real time? Is it just—could you give me an update on how you handle that?
Badar Khan: Yeah. Stephen, so we rolled out our set of dynamic pricing algorithms back in 2020, late 2024. So they have been running now for about, you know, 12 to 18 months. And these are, it is, these are really algorithms that are, you know, optimizing pricing for us to generate, you know, absolute, you know, sort of maximize absolute gross margin. And so, you know, these algorithms are resulting in different prices certainly throughout the day over a 24-hour period and across different locations where prices might be going up or down. We expect to roll out a new level of algorithms this spring. We were hoping to do that at the end of last year, but we had the record deployment of new stalls—it was the largest deployment of new stalls in the company's history ever in Q4. We wanted to just sort of manage the operational bandwidth here. And those new algorithms just take us to a lover, another level of sophistication in terms of frequency of change and disaggregation in terms of pricing combinations across our entire network.
Stephen Gengaro: Great. Have a—appreciate all the details again.
Operator: Absolutely. With no further questions, that concludes our Q&A session. I will now turn the conference back over to Badar Khan for closing remarks.
Badar Khan: Great. Well, thank you, everyone. EVgo, Inc., as you can see, reached a critical milestone of adjusted EBITDA breakeven, and we had just a fantastic fourth quarter in terms of new stores deployed. We can see from this third-party industry data that EVgo, Inc.'s competitive moat that we spent 15 years building is really paying off, with far superior customer demand versus almost everybody else on the network. 2026, we are choosing to leverage this position of strength and make investments that both secures this competitive advantage and results in adjusted EBITDA reaching or in the triple-digit millions within reach. I look forward to sharing that progress with you over the course of this coming year. Thanks all.
Operator: This concludes today's conference call. You may now disconnect.